Operator: Good morning ladies and gentlemen and welcome to the Municipal Mortgage & Equity LLC Recent Events Update Conference Call. My name is Amy and I will be your coordinator for today. At this time, all participants are in a listen-only mode. We will facilitate a question-and-answer session at the end of this conference call. Some comments today will include forward-looking statements regarding future events and projections of financial performance of MuniMae, which are based on current expectations. These comments are subject to significant risks, which include those identified in filings with the Securities and Exchange Commission and uncertainties that could cause actual results to differ materially from those expressed in these forward-looking statements. The company undertakes no obligation to update any of the information contained in the forward-looking statements. I would now like to turn the call over to Mr. Michael Falcone, CEO of Municipal Mortgage & Equity.
Michael Falcone: Thank you operator and good morning everyone. With me today are Lisa Roberts, our CFO and Executive Vice Presidents, Gary Mentesana and Earl Cole. But because our call today is around recent SEC actions and not a financial update, I will do most of the talking. As usual after my prepared marks, we will take questions, because we have now resolved the proceedings that gave raise to this call, I should be able to answer most of your questions. We will not be answering questions on business performance or outlook today; instead, we will deal with those on our regular call in November. As we have previously reported, two weeks ago the SEC issued two orders, one of the orders suspended trading in our stock for 10 days, the other instituted a proceeding to determine whether to suspend and/or revoke the registration of our common shares. Let me start by saying that these orders came as a surprise to us. As we’ve disclosed in each of our last three annual reports on Form 10-K we received a letter from the SEC in 2009, indicating that these actions were a possibility in light of our delinquent filings as a result of the restatement of our financial statements that we announced in 2006. The SEC also raised the issue of our delinquency in its public comments on the 2011 Form 10-K we filed on March 29, 2012. Nonetheless given the passage of time, given how hard we had worked to keep our investors has informed as possible by means of regular conference call and Form 8-K filings during the period we were delinquent and given how long we have now been timely and complete in our filings, we simply did not expect the SEC orders. In addition to the filings that we did not make, we made several filings that did not include all of the information required for such filings. Since the first quarter of 2011, however, we have made all our quarterly and annual filings on time and in compliance with applicable reporting requirement. In light of our filing deficiencies, we determine that if the SEC were to press from with the deregistration proceedings, it would likely be successful. Our choices were either to try to avoid deregistration by making the filings we missed and correcting the deficiencies in filings we made, or to accept that we might be deregistered and to seek re-registration. after laying our options, we concluded it was in the best interest of our shareholders from both the timing and an economic perspective to accept deregistration and to reregister our shares. After discussing our plan with the SEC on Friday, September 27, 2013, we provided to the SEC a consent to deregistration and on Monday, September 30, 2013, the SEC issued an order deregistering our shares. However, because our current filings include all of the information we need to be eligible to reregister our shares, we were able to immediately file a Form 8-A which caused our shares to be reregistered effective Monday afternoon September 30, 2013. Accordingly our shares are now registered with the same effect as before these proceedings began. Turning now to the trading suspension, our shares will be eligible to resume trading tomorrow morning, because of the suspension the broker dealer should make a market in the shares, need to make a formal filing of the Form 211 with the Financial Industry Regulatory Authority known as FINRA, basically confirming that they have the necessary information about us to make a market. We have filed all of our periodic reports on Form 10-Q and all of our annual reports on Form 10-K completely and on-time since the beginning of 2011 and since our shares are registered we believe that the market makers in our stock have all the pertinent information and that they should be able to resume making that market tomorrow morning or assuming if they can file their Form 211. FINRA has the right to reject a Form 211, but we do not believe based on current information that it will do so here. As a result while we expect some bumps in the road as trading resumes, we are optimistic that trading will resume to a reasonably normal process in the next few days or weeks. I’m sorry trading will return to a reasonably normal process in the next few days or weeks. Although no assurance can be given as to how long it might take and of course no assurance can be given about how the stock price will react. I can say however, that the events of the last two weeks do not affect our common shareholder equity value, which was $1.53 per share as of the end of the second quarter. On a related matter, as we have previously disclosed the company has in place a share buyback plan. We recently amended the plan to make it operate more efficiently and increase the total number of shares we can purchase, because the rules which apply to the plan limit how much the company can buy to a percentage of our average daily trading volume, we will still be limited in the number of shares we can buy on a daily basis, but we remove the monthly Cap that was in the plan. We also expand the plan to enable the company to purchase up to a total of 5 million shares instead of 4 million and to make at least one larger purchase known as a block purchase, once per week of 100,000 shares or more if available. Unfortunately, the company’s purchases and any management and board purchases must be aggregated in determining whether we exceed daily purchase limits. So our management and board do not currently have their own purchase plans in place in order not to adversely impact the company’s purchases. Earlier in the year, I did have a personal plan in place; I was able to purchase the maximum number of shares allowed by my plan, all which has been reported in my Form-4 filings. When we file our Form-10Q for the third quarter, which we expect will be on or before November 14, 2013 the maximum price at which the company can buy shares under the plan will automatically adjust to the third quarter common shareholders equity book value per share. The plan will continue to execute at prices up to the new maximum, which will reset quarterly until we have purchased 5 million shares. We’re pleased to have resolved the SEC matters, we believe the resolution is appropriate and at the agency acted as it must to deal with our delinquencies, but permitted us to immediately reregister, thus giving credit to our hard work and completing the restatement making the best filings we could make, holding regular calls with all of you and being a complete and timely filer for nearly three years now. We know that the trading suspension may have been disruptive for some of you and we sincerely regret any hardships this may have caused. With these matters now concluded, we believe we have put these legacy problems behind us for good. And we look forward to moving forward and creating shareholder value. I will now turn the call back over to the operator for any questions. Operator.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions]. At this time, we will pause momentarily to assemble our roster. Our first question is from Pilar shah [ph], Private Investor.
Unidentified Analyst: Can you tell us sir please how many investors there or shareholders were on September 30?
Michael L. Falcone: How many shareholders there – I really couldn’t tell you that, I think we disclosed we had 40 million in chain shares outstanding, I don’t remember the exact number. And in the past, we had between around 15,000ish shareholders at any given time, but that’s an order of magnitude number, I really have no idea how many actual shareholders there were and we really don’t know that until we do tax work at the end of the year. So that’s the best I can do on that one.
Unidentified Analyst: Okay thank you.
Operator: Our next question is from Greg Venit, Private Investor.
Unidentified Analyst: Good morning, Mike. Thanks for having the call.
Michael L. Falcone: Good morning, Greg.
Unidentified Analyst: Hey, I noticed today the symbol for your company had been MMAB and if you’re trying to locate it, it’s now saying, symbol not found. So tomorrow morning when trading resumes and you probably – maybe you are not aware of this right now, but if you do try to locate MuniMae and get a quote it basically says, symbol is not found. Do you know if tomorrow if NASDAQ or if – are you going to have a new symbol or a different symbol?
Michael L. Falcone: We trade over the counter [ph] on the pink sheet as you know.
Unidentified Analyst: Right.
Michael L. Falcone: It is our understanding that after midnight tonight, we will be back trading as MMAB; we’ll inform the market if we weren’t otherwise, but as we understand it you get that message because of the trading suspension and when the trading suspension is over, we should come back and be able to be found at MMAB as a trading matter.
Unidentified Analyst: Okay. Just from a point of interest, prior to today you did all work, that didn’t say symbol not found although there weren’t any trades, today there is something different, it just shows symbol not found. So hopefully tomorrow it will work, but I just wanted to bring it to your attention that there maybe some difficulty opening up tomorrow and not knowing what the symbol is or if the symbol is not found. So you might have somebody look into that.
Michael L. Falcone: We already are looking into it, it’s a bit of a surprise to us frankly given everything we’ve been told so far, but we are around it.
Unidentified Analyst: Okay. One other question, I don’t know whether you can answer this, if past experience with share buyback programs is that when you get close to the author – you authorized 4 million, now you have opted 5 million, your board has opted. Have you been successful in buying back stock that you feel like you have to increase the amount?
Michael L. Falcone: We increase the amount in order to accommodate sort of the block purchases, which were sort of essentially new volume that we would purchase. This plan has been in place, I want to say for a couple of months now and we are really limited to about 15,000 to 20,000 shares a day. So we haven’t bought 4 million shares, we have not disclosed how many shares we have bought, but we haven’t bought 4 million or number close to that yet.
Unidentified Analyst: So the change is to allow you to be able to do block trades of 100,000 or more?
Michael L. Falcone: Correct.
Unidentified Analyst: And prior to that you weren’t able to do that.
Michael L. Falcone: Correct, I mean we choose that – we didn’t contemplate that when we put the plan together the first time and we sort of learned of that and when we had this opportunity and wanted to make the plan more efficient, we changed it to allow for the block trades.
Unidentified Analyst: Great thank you very much and again I guess this demonstrates to management’s ability to manage well. So thank you.
Michael L. Falcone: Thank you.
Operator: [Operator Instructions]. Our next question is from Robert Kniff [ph] with Janney Montgomery Scott. Go ahead please.
Unidentified Analyst: Thanks for taking my question. This is more of a general 60,000 [indescribable] question Mike, if that’s acceptable and if you can answer that would be great, if not I understand. Given that these are legacy issues that got us to where we are at this point in time, but you say they are behind us now. Can you give me a general sense as to not necessarily how we got here, but what you are going to do different going forward to move the company in a – should we say in a different direction that’s going to enhance shareholder value.
Michael L. Falcone: Well, in terms of the accounting issues in particular that got us into trouble five years ago plus or minus. I think we’ve demonstrated a track record of three years of sort of current filings, we have disclosed that this regulatory risk was out there, it has now been put to bed [ph] essentially with the 10 day suspension and the half a day deregistration and registration process. So in terms of the regulatory risk and legacy problems that we’ve put behind us that’s really what were referring to as the accounting issues. In terms of business outlook and performance moving forward, I would really want to hold those questions to our November call, those calls are scheduled after we have reported quarterly performance and after we’ve had a Board meeting and so I think that’s the appropriate time to have those conversations. Clearly, we’ve had some Board meetings over the course of the last 10 days in order to deal with the SEC matters, but they were pretty limited to those SEC matters.
Unidentified Analyst: So then just to be clear as a follow-up these legacy issues have been resolved to the satisfaction of the SEC?
Michael L. Falcone:
Unidentified Analyst: Okay. Thanks for the clarification.
Operator: Our next question comes is from James Trimpe with Wells Fargo. Go ahead please.
James Trimpe – Wells Fargo: Well, I realize that you may not be able to answer the question from a statement you made earlier, but I’m encouraged by some of this activities and financials I have been seeing and you’re buying your stock back, but my other question which you may or may not be able to answer is, do you anticipate ever being or foreseeing some sort of a dividend in your future or are you going to use, and what would switch it from buying your stock back to a dividend policy if the market starts to trade the stock above NAV or what kind of statements can you make in that regard?
Advisors, LLC: Well, I realize that you may not be able to answer the question from a statement you made earlier, but I’m encouraged by some of this activities and financials I have been seeing and you’re buying your stock back, but my other question which you may or may not be able to answer is, do you anticipate ever being or foreseeing some sort of a dividend in your future or are you going to use, and what would switch it from buying your stock back to a dividend policy if the market starts to trade the stock above NAV or what kind of statements can you make in that regard?
Michael L. Falcone: I’m not really prepared to make any statements in that regard, obviously as we meet as a board we look at a whole range of options that we think make sense to improve shareholder value, we had certainly looked at the dividend question in the past and obviously we’re not paying a dividend, but we will continue to look at that question and see whether we think it makes sense at time in the future when we look at that. Operator.
Operator: Our next question is from Gary Haber with the Baltimore Business Journal. Go ahead please.
Gary Haber – Baltimore Business Journal: Hi. I just had a quick question about the share buyback, so it sounds like that what you’re saying is the resolution of these issues with the SEC will allow you to continue the share buyback?
Michael L. Falcone: Correct, obviously the trading has been suspended for the last 10 days, while the trading was suspended, we had a Board meeting and met and made sure that we had what we thought was the most efficient share buyback program we could in the market, because obviously we don’t quite know how the process of trading will resume and wanted to make sure that we were there to buy shares on when at all possible.
Unidentified Analyst: Okay, and when did the Board authorized increasing the number, the size of the buyback to 5 million shares?
Michael L. Falcone: Sometime in the last week, I can’t remember the exact day.
Unidentified Analyst: Okay.
Michael L. Falcone: We had a couple of meetings over the course of last week.
Unidentified Analyst: Okay and how long is the buyback program in effect for?
Michael L. Falcone: I think it’s in effect until it’s executed or changed.
Unidentified Analyst: Okay.
Michael L. Falcone: So until we reach the 5 million or until the Board amends it in the future.
Unidentified Analyst: Okay. And one other question, I know you mentioned that the plan was amended to allow for like large block purchases, is that right?
Michael L. Falcone: Right.
Unidentified Analyst: And the board also makes that change last week as well?
Michael L. Falcone: Correct.
Unidentified Analyst: Okay. And the block purchases are up what size, what would be considered a block purchase?
Michael L. Falcone: At least a 100,000.
Unidentified Analyst: Okay. What was the limit previously?
Michael L. Falcone: We didn’t have any particular language about block purchases in the past, which is why we decided we should put it in this time.
Unidentified Analyst: Okay, okay. And would it be accurate to say share purchases of 100,000 or more?
Michael L. Falcone: For the block trade, yes.
Unidentified Analyst: Yeah, okay great. And these are common shares?
Michael L. Falcone: Correct. In the course of a normal day, we can only buy 20,000 shares plus or minus. 15,000 to 20,000 shares because of the rules that apply to 10b5 plans, it’s a formula that is set out in the law basically, its 20% or 25% that average trading volume, and like the daily trading volume calculated the week before or something like that. And that would in our case be generally 15,000 to 20,000 shares so that really prevented us from buying a block trades. Anybody who had significant a number of shares to move we could not buy, there is a carve out in the rules where you can do one block trade a week and so now we are taking advantage of that carve out and so we could buy one block, a larger block of shares a week.
Unidentified Analyst: Okay. And are these FINRA rules, or whose rules are they?
Michael L. Falcone: I think they are the SEC rules but...
Unidentified Analyst: Okay.
Michael L. Falcone: But a lot of these rules start to overlap as to whose rules they are.
Unidentified Analyst: Okay. So now you would be able to do one block trade a week of 100,000 shares or more?
Michael L. Falcone: Correct.
Unidentified Analyst: Okay, very good. Okay, great thank you, I don’t have any further questions.
Operator: [Operator Instructions]. Our next question is from Roger Bass [ph] with Gilfert [ph].
Unidentified Analyst: Hi guys. Well it is almost Halloween and you did give us a good fright in the main. Regarding the blocks, where one to have a block come up for sale, how would we address that, who would we deal to?
Michael L. Falcone: I think the general way to do that is probably to call our Investor Relations line, Brooks Martin is our head of Investor Relations, and if you call that number which is on the website, that’s probably the best way to deal with that.
Unidentified Analyst: Okay, I appreciate it. Good job getting back re-listed. Thanks so much.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Falcone for any closing remarks.
Michael L. Falcone: Thanks operator. As I said near the end of my remarks, we know that this has been disruptive for folks and as the caller just mentioned probably provided a fright to others and we want to again sincerely apologize for that but at the same time we’re really quite pleased with some settlement that we were able to reach with the SEC. They did what they had to do and that we were able to do that in a way that really we think was most beneficial for our shareholders. And so we appreciate your support through the past couple of week as well for the last couple of years, and we look forward to moving the company forward and creating shareholder value as we do that. So thank you all very much, we’ll be back in mid-November with a call, we will update the third quarter performance and general business outlook. Thanks.
Operator: The conference has now concluded. Thank you for attending today’s presentation and please disconnect your lines.